Operator: Good morning, ladies and gentlemen. Welcome to the Telus International First Quarter 2022 Investor Call. My name is Jonathan, and I will be your conference facilitator today. [Operator Instructions] I would now like to introduce Jason Mayr, Senior Director, Investor Relations and Treasurer at TELUS International. Mr. Mayr, you may begin the call. 
Jason Mayr: Thank you, Jonathan. Good morning, everyone. Thank you for joining us today for TELUS International's Q1 2022 Investor Call. Hosting our call today are Jeffrey Puritt, President and Chief Executive Officer; and Vanessa Canu, our Chief Financial Officer.
 As usual, we will begin with some prepared remarks, where Jeff will provide an operational and strategic overview of the quarter, followed by Vanessa, who will provide some key financial highlights. We will then open the line to questions from prequalified analysts before turning the call back to Jeff for his closing remarks. Before we begin, I would like to direct your attention to Slide 2 of the supplementary presentation available for download on this webcast and also available on our website at telusinternational.com/investors.
 The statements made during this call may be forward-looking in nature, including all comments reflecting expectations, assumptions or beliefs about future events or performance that do not relate solely to historical periods. These forward-looking statements are subject to risks and uncertainties, which may cause actual results to differ materially from our current projections. We assume no obligation to update any forward-looking statements. Jeff and Vanessa will also discuss certain non-GAAP measures that the management team considers to be useful in assessing our company's underlying business performance. An explanation of these non-GAAP measures and a reconciliation to the comparable GAAP measures can be found in the appendices of today's supplementary presentation, along with the earnings news release issued this morning and regulatory filings available on SEDAR and EDGAR. I would also like to remind everyone that all financial measures we're referencing on this call and in our disclosure are in U.S. dollars unless specified otherwise, and relate only to TELUS International results and measures.
 With that, I will now pass the call over to our President and CEO, Jeff Puritt. 
Jeffrey Puritt: Thank you, Jason. Good morning, everyone, and thank you for joining us today. I'm pleased to share that TELUS International has started 2022 on a very strong note, delivering a robust 19% year-over-year increase in revenue, 21% on a constant currency basis with leading profitability and triple-digit cash flow growth. Also of note, this revenue growth achievement was organic and not flattered by prior M&A, such as our Payments acquisition, which was primarily a software platform focused on enhancing our AI computer vision capabilities. Our results are all the more meaningful when you consider our company's nontrivial scale. Moreover, we also welcomed a record 5,800 new team members to our TELUS International family in Q1 to meet the acceleration in client demand that we continue to drive. On that front, we continue to see exceptional growth in Q1 with clients across our key verticals, such as e-commerce and fintech in particular, which is continuing to build significant scale, growing 40% over last year.
 That said, our flagship tech and games vertical was once again the highest contributor in absolute dollars this quarter, representing 47% of our revenues. The sustained meaningful growth within our tech and games vertical was largely driven by cross-selling opportunities realized by our TELUS International AI data solutions team. This success was made possible because of the effective integration of Lionbridge AI and Playment that we achieved in 2021 and the focused execution of our purposeful strategy of going to market as one team. These efforts have also manifested exciting business opportunities that we've successfully secured with new clients. In that regard, our global sales team worked diligently to win new logos. And in the first quarter, we welcomed several new and exciting clients, including a major tech-enabled disruptor in the real estate space, a fast-growing fintech company and a leading travel portal in Germany.
 Equally impressive are the multimillion-dollar expansions in scope, services, and scale with many of our existing valued clients. Among the more notable here are our largest client, a leading social media company, and our third largest client, Google, in addition to the world's largest e-commerce company, a leading North American financial institution and a global consumer electronics company to name but a few. To help bring our services and technology to life, I'd like to take you through a few examples of how we are helping our clients.
 First up, TELUS is helping our clients develop a well-rounded approach to trust and safety as part of its broader customer experience strategy. This case study involves the work we do for a major global e-commerce brand that facilitates consumer-to-consumer and business-to-consumer transactions through its website and smartphone application. Buyers and sellers utilizing their e-commerce platform, expect to complete transactions in a safe and secure environment, and our customer wants to eliminate or at least mitigate possible fraudulent activity whilst meeting ever-evolving government regulations. With an expanding user base and growing number of listings, our client was looking to expand fraud prevention measures within its German-based operations in particular. This engagement also included the removal of copyrighted material as well as customer support for a newly implemented payment option.
 Additionally, the client was looking for a way to mitigate the risks involved with the new German tax laws that hold online platform owners responsible for its commercial users tax registration. This was a multifaceted engagement with the need for a holistic approach to trust and safety. Hundreds of our team members across 4 of our centers of excellence in Germany support this client with our fraud prevention specialists who focus on recognizing counterfeit goods, identifying the unauthorized sale of copyrighted materials and removing illicit listings when required.
 Our team members also deliver broader CX support for both sellers and buyers utilizing our clients' platform, including providing guidance with licensing and educating sellers on jurisdiction-specific tax requirements. As I mentioned, we also led this client's project and introducing a new payment method with our team members playing an integral role in educating the clients' customers on the benefits of transitioning to the new payment system. In fact, we were this client's very first outsourcing partner in the payment space. Our team members on this account have an average tenure of 9 years and it's thanks to our team's consistently high quality of service, that TELUS International continues to strengthen its relationship with its global client over the past 11 years.
 Our next example focuses on our AI-powered data solutions and involves a leading artificial intelligence company that serves the national security sector with a focus on robotics. This client's data is primarily used to detect suspicious activity and our team was engaged to assist with annotating object detection and tracking data collected via drones. The challenge for our client was the poor quality of the original images collected as they were often distorted and required model-assisted correction and high precision labeling.
 Our team solved this problem by enabling model-assisted brightness correction for easier labeling through an algorithm that automatically fixed images for better clarity to support faster and more accurate labeling. We also set up seamless data pipeline integrations to upload images onto our proprietary labeling platform. We ran the real-time human-in-the-loop labeling processes, delivering faster labeling with our high-precision 2D and 3D tools. We were also able to track productivity in real-time with custom dashboards that provide robust annotator productivity and performance analytics. The work in hand encompassed the labeling of 150,000 3D point cloud frames, the creation of 6 million cuboids, and the annotation of 20,000 video frames in the span of only 6 months. In addition to timely delivery of the assets, we achieved a more than 95% actuary rate for the 3D point cloud annotations and cuboid creations and more than 98% accuracy across 90 hours of video content.
 Our third client example illustrates how we effectively bring together our team in AI data solutions and digital solutions for a differentiated 360-degree approach to value creation for our clients. Prior to the acquisition, our now rebranded AI data solutions team had been supporting one of our largest clients, a leading technology company with a global media platform, delivering exceptional search-relevance solutions. In addition to that, our digital solutions team played an instrumental role in the development and implementation of a wellness strategy for this client, aimed at supporting content evaluators faced with potentially sensitive or difficult content.
 With TELUS International's expertise in managing our own content moderation and AI community talent located across the globe, we developed one of the first global wellness programs for this client, incorporating industry best practices tailored to the unique confines of the search relevance program.
 The first phase of the project introduced a third-party wellness support provider who offered both counseling services and an online platform of resources, both web-based and app-based to support the mental health and well-being of the AI community.
 The second phase involves targeted support for those who had flagged potential issues during the course of their workday. This included personalized reminders of support and customized training around the management of difficult content.
 The third phase introduced a proprietary resilience training program, arming remote content evaluators with the tools to proactively overcome workplace stressors. The positive results from the program contributed to an overall well-being awareness score of 96% and a 98% satisfaction rating for the AI community as a whole. And in turn, the content evaluation program delivered strong business outcomes for the clients with exceptional quality scores and consistently impressive month-over-month attrition metrics.
 As you might anticipate, TELUS International eats our own gourmet cooking, as we look to innovate and strive to automate what should be automated in our own operations as well as within for our clients. One such example is our digital seed program, pursuant to which we provide every client with access to bots built by TI that greatly improve our own team members productivity, thereby benefiting both our clients and our own bottom line. Self-service and automation in the area of enterprise data warehousing is another good example, ensuring efficient communication between our operations and corporate teams with continuous data flow through streamlined loading and data integration processes, making needed data available quickly for analysis using business intelligence tools.
 TI's ability to innovate and continuously improve our own productivity comes down to our individual team members, their desire to take ownership of finding ever better ways to serve customers by using technology and digital tools, many of which are built right here at TI in our iLabs Group. Here too, our unique corporate culture plays an important role. Innovative ideas originate from our diversity, inclusion, and equity efforts. To that end, we have an internal IT app store that showcases all our homegrown solutions available for team members and also serves as a portal where team members can submit their own app ideas or flag an area for improvement for an app featured in the virtual store that can be taken into consideration during subsequent app development and broader implementation initiatives.
 Our team members' ability and inclination to embrace innovation and technology has served as a critical factor in our successful transition to remote work throughout the prolonged pandemic. As of March 31st, approximately 70% of our global frontline team members continue working from home, along with the rest of the world as we're experiencing site reopenings and the elimination of certain restrictions and mass mandates in many of the regions where we operate. For example, in the Philippines, we continue to steadily and successfully transition our team members back to working in our world-class facilities with an ongoing focus on ensuring their health and safety to enhance the workstation, common area sanitation protocols, and other measures introduced during the pandemic.
 Contrary to some of our peers in the region, we made the purposeful decision to uphold our facility's lease commitments throughout the pandemic. Our reasoning was threefold. Firstly, we anticipated that although our pivot to virtual work was successful, our team members would likely need physical spaces again one day. Back in 2020, we weren't certain if our sites would be used for work, repurposed to connect socially or reimagine to create more moments of collaboration, innovation, alignment, and community, but we knew that we wanted to have the spaces available to explore different opportunities, including hybrid work environments. It's a journey that continues today as we work to refine how we embed flexibility into our environment for our teams now and into the future.
 Secondly, we wanted to ensure we maintain maximum flexibility at how we're able to serve the unique and varied needs of our diverse clients. This includes how and where they want to be served and having the ability to rapidly scale. These are significant competitive advantages over our peers without adequate physical space when it comes to expanding our new and existing client relationships and winning new business. Thirdly, as a global organization that operates in 28 countries around the world, we're often the largest employer or among the largest in many regions. We recognize our responsibility in that regard and understand that our business decisions can have ripple effects for families, communities, cities, and even broader global environments. As such, our decisions aren't solely based on our needs or cost savings over the short term. They're about the long-term sustainable health of the ecosystem in which we operate.
 And although TI does not have delivery locations or clients in Ukraine, Russia or Belarus, our entire global family has also been closely monitoring the invasion of Ukraine. Since the beginning, our team has shown incredible support and solidarity from collecting essential goods to volunteering and making donations. Our strength has always been in local community support with hearts and hands coming together close to where help is needed most. Our regional teams in Bulgaria, Turkey, Finland, Ireland, France, Romania and other sites across Northern Europe organized numerous activities. 
 Their individual acts of kindness, support, and donations are truly inspiring and epitomize our caring culture. TELUS International has also contributed to various humanitarian relief efforts spread across local charities and programs carefully identified by our European colleagues to make the most direct and meaningful impact. In addition to the generous donations made by our parent company, TELUS Corporation, and including the TELUS Future Friendly Foundation TELUS community boards, the matching of team donations and customer giving and in-kind donations, the joint support of the TELUS broader organization amounts to more than CAD 3.5 million and counting.
 On our last quarterly call, I shared our environmental, social, and governance approach and priorities, focused on our team members, our communities, supporting a sustainable planet for all and adhering to strong corporate governance. As a follow-up to that discussion, I want to call out that on April 13th, TELUS International published our inaugural annual report with integrated environmental, social and governance reporting for the first time as a public company. There's a wealth of information and good context for you to dive deeper into our ESG philosophy and focus areas to be found there.
 And finally, before I turn over to Vanessa, I'd like to highlight just some of the industry recognition that TELUS International received in the first quarter. Our company was ranked a leader in the Nelson Hall 2022 EAT assessment for CX Operations transformation, including across all 3 of the evaluation subcategories of revenue generation, CX improvement, and cost optimization. Additionally, we were pleased to be included once again on the IAOP Global Outsourcing 100 List for the sixth consecutive year. This list reflects the best outsourcing providers across size and growth, customer references, awards and certifications, programs for innovation, and corporate social responsibility. And we were named one of Mogul's top 100 companies for diverse representation in 2022. This award recognizes companies that are leading the way with respect to investing in resources and tools and implementing practices that support hiring diverse talent and placing diverse leaders throughout their organizations.
 These accolades as in previous quarters were made possible by our passionate and dedicated team members exemplary commitment to one another to our clients and to the many communities where we operate, and I want to take this opportunity to thank them all once again for their extraordinary accomplishments. Thank you, team. With that, I'll now invite our Chief Financial Officer, Vanessa Kanu, to take you through a detailed review of our financial results, after which I'll return to answer your questions. Vanessa, over to you. 
Vanessa Kanu: Thank you, Jeff, and good morning, everyone. Thank you for joining us today. As mentioned at the start of this call, in my review of financial results, I will refer to some items that are non-GAAP measures. For descriptions and a reconciliation of our GAAP to non-GAAP measures, please see our earnings release and regulatory filings from earlier this morning. To begin, I will echo what Jeff said earlier. We are starting 2022 on a very strong note with 21% organic revenue growth on a constant currency basis, while at the same time, maintaining a very strong adjusted EBITDA margin of 23.7%. The cost generating ability of our business was also evident this quarter with $99 million of free cash flow, a 4.5-fold increase over the same quarter last year. These results demonstrate our differentiated focus on maintaining a healthy balance of growth and profitability with strong cash generation characteristics inherent in our business.
 Let me now expand upon the components of our financial performance. In the first quarter, we achieved revenue of $599 million, up 19% year-over-year on a reported basis or as we've mentioned, 21% in constant currency. Our reported revenues included an unfavorable foreign currency impact of over 2%, predominantly driven by the strengthening U.S. dollar against the Euro exchange rate. Looking closer at our revenues by geography, our highest quarterly revenue growth was in Asia Pacific, a 36% year-over-year growth, followed by 22% growth in North America with higher demand in both geographies driven by some of our top clients, including 2 new additions to our top 10. Europe and Central America grew at 11% each, the former being the recipient of the aforementioned foreign currency headwinds.
 From an industry vertical perspective, we continue to see broad-based demand and strong growth in our core verticals comprised of global tech companies and digital disruptors. In the first quarter, our largest vertical, second games grew 25% with our AI data solutions as a key driver of that organic growth. We continue to see excellent momentum in the e-commerce and fintech vertical, with revenues up 40% year-over-year. Combined, our tech and games and e-commerce and FinTech clients collectively accounted for approximately 60% of our total revenue, increasing from approximately 55% in the same quarter last year.
 This quarter, we also started to disclose revenue from our clients in our banking, financial services and insurance vertical or BFSI. While this vertical is not new to TI, it was previously recorded within our vertical booking other. However, by virtue of its current materiality, driven by significant growth, it has now been carved out separately. In Q1, BFSI was our fourth-largest vertical bank revenue and grew by 67% year-over-year, driven by recent wins from some of the leading financial institutions in North America and globally. Last but not least, the Communications and Media vertical grew 8% year-over-year, primarily driven by higher revenue from TELUS Corporation, our current company.
 Moving on to operating expenses. Salaries and benefits expense in the first quarter was $242 million, up 21% due to a higher team member accounts to support business growth and higher average employee salaries and wages. Our goods and services purchased were $150 million in the quarter, an increase of $21 million or 22% from the same quarter last year. This increase was primarily attributed to business growth, including the impact of higher cloud contractor costs from the volume expansion in our AI data solutions business. Share-based compensation expense in the first quarter was $7 million, a decline of $19 million or 73% year-over-year, primarily due to the decrease in our share price during the quarter tied to recent market conditions and the related mark-to-market adjustments on liability accounted awards. This was partially offset by the in-quarter expense associated with equity accounting awards.
 Acquisition, integration and other charges in the first quarter were $4 million, a decrease of 20% from the same quarter last year, primarily due to lower integration costs incurred in the current period. Our interest expense in the first quarter was $9 million, a decline of 36% year-over-year due to lower weighted average debt balances on our credit facility as we made principal repayments against our long-term debt. Income tax expense in the first quarter was $23 million compared with $50 million in the same quarter last year. At the same time, our effective tax rate decreased from 81.8% to 40.4%, primarily due to a decrease in nondeductible items and a decrease in withholding and other taxes as a percentage of net income before tax.
 To remind you, during the first half of 2021, the majority of the nondeductible items were a result of our IPO and as such, were nonrecurring. Our adjusted EBITDA was $142 million in the first quarter, a year-over-year increase of 10%, driven by an increase in revenue from existing and new customers, partially offset by higher costs to support business growth, as just mentioned. Adjusted EBITDA margin in the quarter was 23.7% and while down from an abnormally high compare in the same period last year was a solid achievement given the current environment. Adjusted net income for the quarter was $69 million, up 17%. And on a per share basis, this translated to adjusted MITA earnings per share of $0.26, up 13% year-over-year.
 Moving over to the balance sheet. Our balance sheet remains strong with further improvement during the quarter in our leverage ratio and liquidity position. Cash and cash equivalents were $161 million as of March 31st. Our total available liquidity, which comprises available capacity under revolving credit facility of $746 million and our cash on hand grew to $907 million from $831 million at the end of the previous quarter. With our available liquidity, we continue to have ample capacity to pursue strategic growth opportunities as we have done historically. We also continued to reduce our leverage in Q1, lowering our net debt to adjusted EBITDA leverage ratio as defined by our credit agreement to 1.8x as of March 31st, down from 2.1x last quarter. As a reminder, we do continue to view the 2x to 3x zone as a good, healthy, steady [stake] amount of leverage and continue to have the ability to go beyond this range for the right type of strategic acquisition.
 Our free cash flows in the quarter were $99 million compared to [$80] million in the same quarter last year, driven by higher operating profit, a decrease in interest and cash taxes paid and inflows from working capital compared to an outflow in the prior comparative period. The working capital inflow was influenced positively by the timing of certain outflows that are expected in Q1 but will now occur in Q2. This was partially offset by an increase in capital expenditures to support continued business growth primarily attributed to additional investments we made in Asia Pacific, Central America and Europe.
 Moving on to our team members, in the first quarter, we added approximately 5,800 new team members, bringing our talented global team to almost 68,000 and achieved yet another record in the highest quarterly additions of team members. On a year-over-year basis, which reflects a 32% increase all achieved through organic hiring. While labor markets certainly remain competitive and tight, we continue to demonstrate our ability to support growth, keeping pace with strong client demand.
 Now turning to our outlook. It is with confidence that we are reiterating our strong outlook for 2022. We continue to expect revenues in the range of $2.55 billion to $2.60 billion, reflecting a year-over-year increase in the range of 16.2% to 18.5% on a reported basis and 19% to 21% on an organic constant currency basis. Given the recent depreciation of the Euro relative to the U.S. dollar, our outlook now assumes an average year to U.S. dollar exchange rate of $1.08 compared to our previous outlook, which was based on an average exchange rate of $1.13. Even with these currency headwinds, we are able to reiterate our guidance, a reflection of the strong underlying performance of our core business. Of note, given our current business mix, every $0.01 change in the Euro to U.S. dollar exchange rate impacts our reported revenues by approximately $8 million on an annualized basis.
 We continue to expect adjusted EBITDA margin to be approximately 24% for the full year. And we continue to expect adjusted diluted earnings per share in the range of $1.18 to $1.23, which reflects growth of 18% to 23% over last year. This assumes a weighted average diluted share count of approximately 270 million in each of the quarters. I would also like to remind you of certain seasonality factors that should come in handy in modeling quarterly cadence. We continue to expect revenue seasonality of 47% in the first half and 53% in the second half of 2022. The first half of the year is typically our lowest seasonal revenue and adjusted EBITDA period with volumes that tend to ramp up throughout the year. Also, as a reminder, from a cost perspective, unlike in 2021, where our wage increases largely took effect in the third quarter, this year, our annual wage increases were planned to come into effect during the first half of 2022.
 In fact, our wage increase cycle already commenced in some geographies during Q1 with other geographies coming into full effect primarily during Q2. Given the typical revenue seasonality with stronger revenue in the second half, coupled with planned investments in our people and in our business early in the year, we expect adjusted EBITDA margins to be lower in the first half of the year, building up through the second half for the full-year average margin of approximately 24%, as I just mentioned.
 Finally, our effective tax rate is also subject to seasonality being higher in the first half of the year and lower in the second half. For the full year of 2022, we expect our effective tax rate to be between 28% and 32%, reflecting a potential jurisdictional mix of earnings. With that, let's move on to questions. Jonathan, over to you. 
Operator: [Operator Instructions] Our first question comes from the line of Tien-Tsin Huang from JPMorgan. 
Tien-Tsin Huang: Really solid results guys because with the adverse FX overcoming that, I think it's a big deal. I wanted to ask, I think, Jeff and as I'm getting a lot of questions around recession readiness of the business, especially as it pertains to your existing clients, namely in areas where there's some concern in the market right with e-com and FinTech and tech in general. So I'm just curious if you're seeing any of that? And how might of same-store growth or ability to upsell, et cetera, be impacted if things do get a little bit slower like the market seems to be suggesting? 
Jeffrey Puritt: Tien-Tsin, nice to hear your voice. Thanks for the question. I appreciate your ongoing support. We're not yet seeing any meaningful softness in demand from our existing customers at all, to the contrary, we continue to see significant upside and continued growth. I think the nature of what we do, how we do what we do, and for whom we do it is that entirely recession proof, but I think we really are a go-to enabler and partner for our customers to help them manage through challenging economic times, right, helping them to do more with less. That's kind of our expertise, if you will, right, leveraging the combination of talent and technology to drive better business outcomes.
 And so as we have seen candidly long before pandemic influenced macroeconomic dynamics, this is what we do. We help businesses leverage our expertise, our investments in scale to help them navigate those challenges more effectively more cost-efficiently with better business outcomes, helping to ensure that when they have the belt tighten in their own operations, it doesn't necessarily adversely affect their ability to continue to delight their customers. So I don't doubt that we're going to see some potential volatility, but the net effect we anticipate will continue to be positive for us. 
Vanessa Kanu: And the only topic I would make there, Tien-tsin, as well is I think there again is where our protocols, our balanced view of verticals is also helpful. As you can see, we do serve a variety of clients across all verticals. And that has served to help us, certainly, as Jeff just mentioned during the pandemic when certain verticals were declined, other verticals grew. So that has inherent protection as well in terms of TI's overall revenue trajectory. 
Operator: Our next question comes from the line of Stephanie Price from CIBC. 
Stephanie Price: [indiscernible] saw some very solid hiring in the quarter. Just wondered if you could talk a little bit about the hiring environment, any wage inflation, and how the wage environment really has shifted If there's been any change? 
Jeffrey Puritt: Hey, Stephanie, nice to hear from you as well. Thanks for the question. I think what we're seeing is a continuation of the very same dynamic that we've been experiencing over the last 3 quarters, at least, frankly, -- and as -- I'm sure you've seen and heard and read from our peers around the globe in technology services, the competition for talent continues to be as fierce as ever. There simply seems to be not nearly enough capable folks available to address the opportunities that the demand environment continues to present. So it's challenging, always has been. I anticipate, frankly, the competition for talent will always be challenging. And our responsibility as stewards of TELUS International assets is to find a way to navigate those challenges.
 So I think our team continues to do a remarkably effective job of attracting, engaging, and retaining a disproportionate share of that talent pool. But this is by no means a one and done. We can hardly afford to be complacent. It continues to evolve and change and get more difficult. But one of the really exciting things that we're already looking to leverage and build upon is our own, as I said before, drinking our own champagne, eating our own gourmet cooking, leveraging our unique culture and bringing it to life through technology-enabled capabilities.
 We're launching later this month, a metaverse centric recruiting ecosystem that builds on our virtual recruiting capability that we were leveraging and relying upon over the last 2 years, and we never actually bring a single new team member into an office, through the recruiting process, we received their resumes, we interview them. We validate their credentials and capabilities and assess their fit for the organization, all remotely. And now we're going to be able to do that even more excitingly through a virtualized environment in the metaverse, where, again, online, this time, the applicant and we get to bring to life our own unique personalities, our own unique characteristics through Avatars that meet and interact in the metaverse, again, trying to ensure there isn't sort of a sticker shock, a misalignment, if you will, in terms of the candidate's expectations of what working at TI might entail and might be like. And we similarly have an opportunity to better assess and evaluate those characteristics, and personality traits for better alignment for the longer term.
 And given the time, effort, and expense that goes into the recruiting, particularly at the scale that we're operating now, keeping these folks for a sustained period of time is just so important, the impact it has on their capability, [their] competent, their ability to continue to delight our customers. We want to keep them for as long as possible. So spending more time finding technology-enabled methods of evaluating the likelihood of that sustained relationship becomes more important than ever and very excited about how that's going to assist us in continuing to mitigate these challenges in part and ensure that we can continue to disproportionately win in this competition for talent. 
Operator: Our next question comes from the line of Dan Perlin from RBC Capital Markets. 
Daniel Perlin: And really fantastic results. I certainly appreciate that on a Friday. Vanessa, I wanted to touch base with you on kind of the characterization of guidance. You said with confidence. So obviously, you're kind of planting the flag there. So I was hoping you could maybe talk through outside of, obviously, the good performance in the first quarter. What gives you so much confidence for the remainder of the year? What would be some of the puts and takes that we need to be mindful of maybe outside of this macro? And is there anything that we need to be thinking about that would derail it from the investment perspective you've also called out into some of those geographies. 
Vanessa Kanu: Thank you, Dan. Great question. We are confident in our reiterated guidance in 2022 despite the negative impact of currency. And I did give you a sense for how much every cent impacts our revenue. And that's a pretty significant depreciation from where we started the year. So it is a fairly material impact to our revenues, but we're holding guidance the same. So what's giving us that confidence. Clearly, the strong start to the year is a big part of it. But frankly, the funnel. The funnel continues to be very, very strong. It's a pretty exciting funnel. We're very bullish. We've been converting from that funnel pretty healthily at a really good pace. We've also had some significant recent wins. Some of them, if you heard Jeff highlight in his script. So those are all going to generate revenues largely in the second half of the year. We also have some large client ramps. So that's also giving us confidence in our ability to convert those wins and turning those ramps into revenue in the second half.
 And also last but not least, I mean, the fact that we added a net 5,800 team members in the quarter, these team members were pre-hire, so to speak, because a lot of the revenue from those team members, in fact, will come as these client programs continue to ramp. So they certainly are part of the client planning process, but we've got the team members, we've got the supply. And certainly, we've got the deals not only in the existing implementation and execution phase, but also in the funnel, and all of those things give us confidence in our ability to reiterate our guidance. 
Operator: Our next question comes from the line of Richard Tse from National Bank Financial. 
Richard Tse: On the hiring, I was wondering if you can maybe sort of help us understand the specific inputs that go into coming up with the number of people you kind of plan to hire over the next quarter or 6 months? Just trying to get a bit of insight there. 
Jeffrey Puritt: Well, it's arguably as much art as it is science Richard, I would suggest. Obviously, we work as diligently as we can to identify as early as possible, what the requirements are to staff engagements. And we want to be nimble in that maintaining a flexible bench so that when sales successfully converts an opportunity, we're in a position to ramp more quickly rather than only starting to recruit after the contract is signed. But there's obviously a balance there. You can't carry surplus labor at an infinite level given the financial implications. So we try and maintain that flexible bench across the globe in most, if not all, of our geographies. We try and maintain sort of some activity amongst them even if they're not working on billable programs at a particular moment, supporting our iLabs Innovation group, ongoing training, and accreditation so that when we're finally in a position to put them to work, they hit the ground running as expediently as possible.
 And then through the relationship building, contracting process with customer engagements, both net-new and growth to existing, our solutioning team are spending a great deal of time and effort assessing exactly the caliber, quality, and scale of resources required to bring those engagements to fruition. And then working throughout the ramp period to stay as connected to the requirements as possible. In many cases, depending on the circumstances, we will enter into what we call an early start letter arrangement with our customers. So even though we haven't completed the formal final contracting of the MSA and/or a new SOW will get going on ramping and implementing, getting to proficiency in production as quickly as possible to meet client expectations because once they make a decision, they're impatient to get going.
 But as I said, there really is as much art as there is science to this. And once again, I think it speaks to the importance of having a partner with both expertise, and experience at scale to be able to meet those requirements because you can make a big mistake on your hiring expectations at it too much or too little, and the implications to the customer experience can be significant and financially can be near catastrophic. So again, I think it's important to be working with an experienced partner in that regard. 
Operator: Our next question comes from the line of Ashwin Shirvaikar from Citi. 
Ryan Potter: This is Ryan Potter on from Citi. I want to touch base on the situation in the Philippines, given the regulatory return to office mandate there. Can you remind us the percent of headcount that you have there and the potential impacts do you believe you could see from this? Like do you believe could lead to potentially increased attrition if there's a good amount of employees who are unwilling to return to office? Or if they are willing to return now as potentially increased travel costs a little earlier than expected? And also, is there any kind of tax rate implication for us? 
Jeffrey Puritt: So maybe I'll take the first 2 parts of your question, Ryan. I'll invite Vanessa to speak to the last. I'm obviously concerned about the Philippines government, PESA, and DIRs, seemingly competing considerations right now. I'm not sure that we've heard the last of their pronouncements on how they want our industry to address some of their own local economic ambitions and challenges around sort of kickstarting their local economy, supporting their commercial real estate lobby groups perspectives on utilizing capacity. We obviously want to, first and foremost, be sensitive to the safety, ambitions, and expectations of our team members. And obviously, they have to be managed hand in glove with the very same expectations and needs of our customers. And I think it would be unlikely for anyone to have a crystal ball right now and to know definitively.
 Every customer wants to be served from a traditional [in-centered] delivery model and/or every team member wants to continue working from home. I think we've already seen in the sort of early days of quarantine restrictions being lifted, whether it's the Philippines or elsewhere, there is a high degree of heterogeneity across that landscape, and it's a fluid situation. So just because a customer and/or a team member expresses a view today of back in the office or stay at home indefinitely, doesn't mean that the next day, they don't change their views, particularly around customers, we have seen significant swings over the last many months in terms of their appetite and published expectations for how their supplier delivery partners serve them, whether virtually in totality indefinitely or not.
 And so what we've decided is we're going to work as diligently as we can to try and thread the needle. So we have expanded a great deal of time, effort, expense, and innovation around a hybrid work style, what we call our core combined on-site and remote delivery capabilities. So from a work styles perspective, we are supremely confident that we can effectively support any and all of our customers in either on-site or in a virtual environment, at scale. And then on a case-by-case basis, we're going to meet both customer and team member requirements.
 And then in the Philippines in particular, our intention is to be compliant with the local law of the land as we have been everywhere we operate and to the extent that we have some challenges around the timing of returning to office at the levels that ultimately PESA and/or BIR ultimately determine and by the date they want. We'll deal those up when and as they occur. It is not obvious to me yet that, that is resolved, that's between the 2 of them. But for now, our expectation is that we will continue to be compliant and meet those thresholds. And to the extent that there are implications around the potential attrition from team members who can't or won't return to the office, I think there are a number of potential alternatives and creative solutions to address and ameliorate those concerns to the extent that we have customers that are less comfortable being served perpetually on a virtual basis.
 I think, again, there are alternatives available, and this is going to be an ongoing assessment. And again, I think it's helpful that we have so much capability and resiliency in our ecosystem, particularly driven by our technology and talent that we can sort of balance those competing considerations. Vanessa, do you want to just top up on the tax issues? 
Vanessa Kanu: Yes, right. I mean, as Jeff mentioned, the transition is ongoing, not only amongst ourselves, but many of the other operators or some of the other operators, I might say, in the Philippines. As you know, I mean, there is still a lot of uncertainty around the definition of those regulations in and of themselves and the corresponding implications. We think there will be more clarity over the next several weeks to several months. But as we looked at our guidance, Ryan, we certainly did consider the positives and the negatives. We've talked a bit about the negative, so the downside from FX. We've looked at potentially what impact we might have with the Philippines, but we've also looked at other potential positive as well. So that's, I would say, factored into our guidance at this point in time. So I don't expect any materially different impact. But again, the situation is fluid, and there has not been a lot of clarity from the government as the rules continue to evolve. So we are watching it. If anything changes materially, we'll certainly provide an update then. 
Operator: Our next question comes from the line of Ramsey El-Assal from Barclays. 
Ramsey El-Assal: I wanted to ask about pricing power and margin performance was just great in the quarter. And I think you called out pricing as one of the drivers. How are -- one of the sort of a background question, how are pricing increases actually implemented in the agreements? Do you have leadway throughout the contract to just pass along higher labor costs?
 And I guess the second part of the question is how sustainable do you think the sort of pricing power in the business is? Do you think clients will reach a level where they begin to push back? Or is just the war for talent is such that they really don't have a lot of options. 
Jeffrey Puritt: Ramsey, nice to hear your voice. Hope everybody is safe at home. We've got CPI and COLA clauses in many of our customer agreements, either at the MSA and/or the SOW level. And the nature of those clauses, as you might expect, anticipate the opportunity to revisit what's happening in the environment at the time and to reset pricing commensurate with inflation or deflation in CPI and COLA. So either at the end of fixed period, the end of the year, the end of the term or otherwise. We don't have those clauses in every single customer contract.
 Frankly, I'd be surprised if any of our peers have them in every single one of their contracts. But they are in several, many -- and wherever possible, we are availing ourselves of those provisions. And sometimes, as I said, the provisions allow us to go as soon as there is a published report that speaks to change inflation, if you will, in connection with cost of living increases or consumer price index inflation. And whether there is an explicit provision in the agreement and/or sort of a published pronouncement around that, none of our clients are ignorant to the wage inflation dynamic that is ubiquitous everywhere. As you've heard me say before, we often compete with our customers to employ the same talent in many respects. So they are intimately familiar with the challenges that we're all facing, and we're all in this together.
 And so our sales and our operations team are in regular contact with our customers around not just the fulfillment of their delivery expectations, but around sort of the sustainability of the relationship. And so we have been quite proactive in speaking with all of our customers as frequently as we can as we need to in order to get them to help us address the burden and overcome it in terms of the wage inflation, given that our value proposition at first instance has never been your match for less. Now we're fortunate that our customers tend to be working with us because they look to us for service delivery excellence. And they're not nickel-and-diming us to get the lowest possible price, and they recognize if they want us to continue to deliver great service, we need to be generating a profit so we can reinvest in ensuring we attract and retain talent, invest in technology and tools, so on and so forth. 
 So there really is a more collaborative symbiotic dynamic that underpins most of our customer relationships in the first place that [blends] themselves favorably to more progressive, collaborative discussions around how we mutually mitigate the wage inflation implications that are, as I said before, ubiquitous. I think there is not a finite amount of resiliency and the price at some point, I think it becomes prohibitively expensive, perhaps for certain services. But so far, as you've seen, I think we've done a remarkable job of mitigating these wage inflation pressures and sharing that burden with our clients through pricing increases, certainly pricing new contracts to reflect this new wage regime as well as revisiting existing contracts as well through renewals or adjustments. 
Operator: Our next question comes from the line of Daniel Chan from TD Securities. 
Daniel Chan: It seems like you guys are continuing to gain wallet share at some of your larger customers. To what extent are your conversations driven by customers looking to consolidate vendors as they look to reduce cost, like that usually comes with higher volumes? And what's your opportunity to be the beneficiary of that? 
Jeffrey Puritt: Yes. I mean it's been interesting over the last 5 to 10 years, I guess, to see some of our larger clients, first look to add new suppliers to their vendor ecosystem to try and mitigate or build out some additional resiliency in their supply ecosystem. And then the pendulum swings the other way more recently, and they realized that they're probably adding more risk, spending more money, taking more time by having to manage a bigger ecosystem of vendor suppliers. Where we've seen consolidation, we thankfully have indeed been the net beneficiary of incremental business opportunities. And it has always come down to one thing, and that's service quality.
 So rarely have we seen customers say to us, well, the reason why we're going to give you more volume is because you're our cheapest provider. Indeed, we are rarely, if ever, our customer's cheapest provider, but we are more often not always their best provider in terms of meeting or exceeding service delivery metrics relative to our peer group in their supplier ecosystem. And when it comes down to sort of culling the herd for them as they look to simplify their supply chain, we more often than not are the net beneficiaries because we're delivering better value for money by delivering better service. 
 And that continues to be sort of at the core of our value proposition to our clients and we hope that will continue if and when these clients recognize that, you know what, maybe having 2, 3 suppliers is sufficient to ensure the requisite competitive intensity and pricing, accessing innovation, disaster recovery business continuity backups, if you will. But you don't need 5, 10, 20, 30 partners. And I think when you narrow it down to that, I think you want to be focusing on quality and value for money I think we perform exceptionally well through that lens. 
Operator: Our next question comes from the line of Keith Bachman from BMO. 
Keith Bachman: Clarification on the question. Vanessa, I was just wondering if you could clarify how much FX at current spot -- how much is it impacting EBITDA dollars? Because implicitly, I think you're actually raising both revenues and EBITDA because you're keeping the same range and yet FX is a negative headwind. So to me, it's a sign of encouragement that you're actually implicitly raising. I'm just wondering if you could call out what the EBITDA impact of FX.
 Jeff, the broader question, though, for you is I wanted to go back to the economic cycles, if I could. And we've looked at other pure-play BPO companies, which are a little bit different business model, but there's a clear correlation, if you go back over, say the last 15 years to economic cycles and BPO growth. And I wanted to try to understand, you said previously to one of the earlier questions that you -- not necessarily recession-proof but rest resistance. And I want to try to understand a little bit more about that view. Is it because you think the volumes and the pricing will both be steady? Or do you think you'll gain perhaps incremental share with your customers, if, in fact, there is weaker volumes at the customer level and/or pricing implications? Just hoping you could flesh that out a little bit more. 
Vanessa Kanu: So thanks for the question, Keith. I'll start with your first observation, which is absolutely spot on, and that's precisely what it is. So we kept our guide reiterated, but obviously, we're absorbing the currency headwinds and the result is faster constant currency organic growth than was first guided. I did not disclose the EBITDA impact, but you can probably very evenly see that when you look at our currency because we actually have more revenue in Euros and cost of Euro. So it's actually EBITDA dilutive. What I did quantify was for every $0.01 movement in the Euro, we lose about $1 million on an annualized basis. The flow-through impact to EBITDA on that basis is roughly $2.5 million. So can sort of do the math on what that means. So yes, we are implicitly raising the guide on EBITDA as well. And that's all built into our -- maintaining the 24% overall. 
Keith Bachman: Terrific. Helpful. 
Jeffrey Puritt: And on the second half of your question, Keith, I mean, what we've seen historically and what we would anticipate prospectively is to the answer I just provided a moment ago, if our customers are experiencing deterioration in the demand for their own products and services from their customers. And so their need for as much support from partners deteriorates, the triage that we've seen them generally undertake doesn't start with firing their most expensive partner and/or their best providing partner. It starts with firing or reducing volume with their worst-performing partners and/or shedding their own captive capabilities because those tend in variable to be the most expensive channel that they maintain and often not their most effective channel. 
 And so what we would anticipate is we may or may not get any pricing elasticity. There may well be some volume deterioration at a macro level for the customer, but we will be the net beneficiary once more because they're more likely than not to consolidate amongst that vendor community, and we anticipate we will be included in that consolidation. We will make the cut, so to speak. And then whatever lesser volumes they have to support, they will be bringing those to us. So once again, we expect to be a net beneficiary of that dynamic. 
Operator: And we have time for one more question, which comes from the line of Maggie Nolan from William Blair. 
Margaret Nolan: Nice quarter. Can you talk a little bit more about the magnitude of cross-selling opportunities that you think [Blair had] for TI? I know you gave an example of [tech and games] on the call. But are there particular solution areas that are becoming dominant or outsized growth drivers like that AI data or custom safety or something else? 
Jeffrey Puritt: Thanks for the question, Maggie. Yes, I wish we had more time. And in fact, if I can impose upon you, maybe we can address this more fulsomely offline. But the combination of our AI capabilities with our digital IT with our content moderation -- it has been so exciting just in the last 6 months, in the last 3 months in particular. And what we're already we're looking at doing together with those capabilities and some of our existing and prospective clients. So the continued proliferation of AI, enabling some pretty exciting functionality, right? 
 I mean, digital commerce is improving the customer experience and BFSI, document verification, customer interactions in real-time for social media, it's not just content moderation, but it's curation. In the ag sector, it's crop monitoring and soil assessment -- in health and medical, it's a research, it's parsing scores of accumulated and unstructured data sets like the application, the opportunity for better deploying, proliferating our capabilities, and the combination of these has really been why I think we're stealing share, and we're growing so quickly in that space. And once again, I'm feeling like we were fortunate and prescient in making the investments that we did at the time that we did in Lionbridge and in [planements], -- and I think you should expect to see even more expansion there just given the applications for this capability seem right now to be near limitless. 
Operator: This is all the time we have for questions today. I will now turn the program back to Mr. Puritt. Mr. Puritt the line is yours. 
Jeffrey Puritt: Thanks very much, Jonathan, and thank you all for your questions today. Although the macroeconomic backdrop in which we operate remains complex with inflation concerns, rising interest rates, continued global uncertainty around COVID, and evolving geopolitical risks, TELUS International continues to be very well positioned for top-line growth with leading margins and a very robust cash flow profile. I think this makes our company stand out as an especially attractive destination for capital for growth-oriented and value-focused investors during this time of broad market volatility. As always, I look forward to connecting with many of you at upcoming conferences and investor events, such as our AGM on Friday, May 20th. And if not, at TELUS International's next quarterly call in August. With that, I wish you all a great summer and keep yourselves and your family safe. Thank you once again for joining us today. Bye-bye. 
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.